Operator: This afternoon, Bohn Crain, Radiant Logistics' Founder and CEO and Radiant's Chief Financial Officer, Todd Macomber, will discuss financial results for the company's Fourth Fiscal Quarter and 12 Months Ended June 30, 2016. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes. This conference call may include forward-looking statements within the meaning of Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements. While it is impossible to identify all the factors that may cause the company's actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that have in the past, and may in the future, be identified in the company's SEC filings and other public announcements, which are available on Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. I'd now like to turn the call over to Radiant's Founder and CEO, Bohn Crain. Thank you. You may begin.
Bohn Crain: Thanks, Matt. Good afternoon, everyone, and thank you for joining in on today's call. We are very pleased to report record results for fiscal 2016 and what proved to be an increasingly difficult market over the course of the year. We posted revenues of $782.5 million, up $279.8 million or 55.7%; net revenues of $186.7 million, up $63 million or 50.9% and adjusted EBITDA of $24.4 million, up $7.1 million or 41.3% over the comparable prior-year period. Normalizing our adjusted EBITDA to exclude $2.4 million in non-recurring transition cost associated with Service by Air's back-office, we would have reported adjusted EBITDA of $26.8 million, up $9.4 million or 53.9% over the comparable prior year period. In addition, we also reported cash from operations for fiscal year ended June 30, 2016 of $21.4 million. For the quarter ended June 30, 2016 we posted revenues of $183.6 million down $12.6 million or 6.4%. Net revenues of $46.6 million, up $3.9 million or 9% and adjusted EBITDA of $5.4 million, down $1.1 million or 17.2% over the comparable prior year period. These quarterly results reflect the impacts of excess capacity and related margin pressures of the current market environment, particularly in our brokerage operations as well as the previous disclosed loss of a significant customer at On Time Express, which is also a drag on our comparable year-over-year results for our forwarding operations. We are responding to these market headwinds with a focus on the continuous improvement of our existing business through an accelerated investment in technology, targeted investment in additional sales staff, further integration of previously acquired operations and unlocking the associated revenue and cost synergies within our current platform. While improving the financial performance of our existing platforms is our top priority, we also remain committed to our long-standing strategy to deliver profitable growth through a combination of organic and acquisition growth initiatives. We have low leverage on our balance sheet, strong free cash flow and continue our disciplined search for acquisition candidates that bring critical mass to our current platform with respect to geography, purchasing power and complementary service offerings. I want to talk a little bit more about technology and what we’ve got going on in that area. The course we chart for ourselves around technology is one of our most significant priorities. Through our ongoing investment in technology, I believe we have a unique opportunity to deliver a state-of-the-art technology platform for our strategic operating partners and the end customers that we serve. At the same time, technology is key to driving productivity improvement in the back office and can ultimately help facilitate revenue synergies across the platform. Most immediately, we are looking to capture the cost synergies associated with SBA's back-office operations which we estimate to be in excess of $2 million per year in run rate savings, enabled by the recent upgrade of our SAP accounting system. When we deployed the new SAP accounting system earlier this year, we took the time to introduce a new piece of middleware into our environment that effectively allows our new accounting system to interface with multiple legacy TM applications. This new middleware gives us the flexibility going forward and will help support and accelerate the realization of back office cost synergies associated with existing and future acquisitions. Our next major milestone will be the deployment of an SAP-based TMS which we are expecting to pilot in calendar 2017. Over time, we will sunset our legacy freight forwarding platform, CargoWise, as we migrate our forwarding operations onto SAP. With the benefit of our middleware configured to interface with multiple TM systems, we expect to transition from CargoWise to SAP one station at a time giving us the opportunity to address any challenges as we go and mitigate the risk of this transition. Similarly and over time, we will also expect to replicate the same two step integration process for Wheels International in Toronto and Wheels Clipper in Chicago, first integrating the various TMS applications at Wheels to our SAP accounting system and then ultimately sunsetting the same legacy TM applications as we migrate to SAP's TM. Getting our various operations onto a singular platform will not happen overnight, but we believe we have the right strategy to drive long-term shareholder value in terms of maximizing our opportunity to capture revenue and cost synergies while positioning ourselves to support future growth through acquisition. With that, I’ll turn it over to Todd and he can walk us through the more detailed numbers.
Todd Macomber: Thanks, Bohn, and good afternoon, everyone. Today, we will be discussing our financial results including adjusted net income and adjusted EBITDA for the three and 12 months ended June 30, 2016. For the three months ended June 30, 2016, we reported a net loss attributable to common stockholders of $633,000 on a $183.6 million of revenues or a loss of $0.01 per basic and fully diluted share including $1,180,000 write-off associated with retirement of the Alcentra/Triangle $25 million note. $837,000 of transition and lease termination cost, a $375,000 expense on change in contingent consideration and approximately $319,000 in acquisition related legal, accounting and other non-recurring costs which are included in SG&A. For the three months ended June 30 2015, we reported net income attributable to common stockholders of $1,668,000 on 196.2 million of revenues or $0.04 per basic and fully diluted share. This represents a decrease of approximately $2,301,000 or approximately 138% over the comparable prior year period. For quarterly adjusted net income, for the three months ended June 30 2016, we reported adjusted net income attributable to common stockholders of $2,792,000. For the three months ended June 30, 2015 we reported adjusted net income attributable to common stock holders of $2,116,000. This represents an increase of approximately $676,000 or approximately 32%. For quarterly adjusted EBITDA results, we reported adjusted EBITDA of $5,420,000 for the three months ended June 30, 2016, compared to adjusted EBITDA of $6,546,000 for the three months ended June 30, 2015. This represent a decrease of $1,126,000 or approximately 17.2%. Adding back transition costs associated with SBA's back-office representing an additional $477,000, adjusted EBITDA would have been $5,897,000 for the period ended June 30, 2016 versus $6,704,000 for the period ending June 30, 2015 which includes an add back of transition cost of $158,000 for the 2015 period. This represents a decrease of $807,000 or 12%. And moving along to the 12 months results. For the 12 months ended June 30, 2016, we reported a net loss attributable to common stockholders of $5,565,000 on $782.5 million of revenues or a loss of $0.11 per basic and fully diluted share which includes $3,680,000 impairment on the customer list for On Time Express, and additional $5,945,000 of transition and lease termination costs. Again the $1,003,000 charge on change in contingent consideration, and $1,180,000 of write-off associated with retirement of the Alcentra/Triangle $25 million note. And approximately $2,799,000 in acquisition related legal accounting and other non-recurring cost which were included in SG&A. For the 12 months ended June 30, 2015, we reported net income attributable to common stockholders of $3,829,000 on $502.7 million of revenues or $0.11 per basic and $0.10 per fully diluted share. This represents a decrease of approximately $9,394,000 or approximately 245.3% over the comparable prior-year period. And looking at adjusted net income results, for the 12 months ended June 30, 2016 we reported adjusted net income attributable to common stockholders of $11,793,000. For the 12 months ended June 30, 2015 we reported adjusted net income attributable to common stock holders of $6,825,000. This represents an increase of approximately $4,968,000 or approximately 72.8%. And reviewing the 12 months adjusted EBITDA results, we reported adjusted EBITDA of $24,406,000 for the 12 months ended June 30, 2016 compared to adjusted EBITDA of $70,268,000 for the 12 months ended June 30, 2015. This represents an increase of $7,138,000 or approximately 41.3%. Adding back transition cost associated with SBA's back-office, representing an additional $2,408,000 adjusted EBITDA would have been $26,814,000 for the period ended June 30, 2016 versus $17,426,000 for the period ending June 30, 2015, which we’re including an add back of transition cost by $158,000 for the period ending June 30, 2015. This represents an overall increase of $9,388,000 or 53.9%. With that, I will turn the call back over to our moderator to facilitate any Q&A from our callers.
Operator: [Operator Instructions] Our first question comes from Mark Argento from Lake Street Capital Markets. Please go ahead.
Mark Argento: Hi, good afternoon guys. Just wanted to talk little bit about the environment out there, obviously tough you know we heard from others as well, tough environment, both on the pricing side, demand side, may be you can talk about what you are seeing. We've heard anecdotally you guys are starting to look at lock-in, starting to lock-in some longer-term contracts. Is there anything to get excited about in terms of looking at - in a environment from – are we in a trough here, is pricing starting to stabilize at all?
Bohn Crain: So thanks for your question. Obviously it is been a tough market for the - I think for the sector. Unfortunately we didn't escape it ourselves. I think it's a little early, I think everyone is optimistic and looking to call the bottom. I am not sure that we are or not there, clearly the asset based guys who are - have become very aggressive with their pricing which is kind of spilled over into our environment particularly on the truck and brokerage side of things. And so we are - I am hoping its stabilizing, but I think it’s a little too early for us to draw those conclusions.
Mark Argento: And are there any parts of the business that you are starting to see stabilize outside of kind of trucking prices any sector or is there any kind of any positives you can point to?
Bohn Crain: Yes, I think if we kind of begin the kind of segment the business a little bit I think our forwarding side of the house is less susceptible to some of the pricing pressure at the end of the day. On the forwarding side our business is more - generally speaking transactional in nature and more of a cost-plus type environment, where on the brokerage side and the Wheels business it can be more contractual and long-term in nature. And so we run into more RFP type scenarios, facing some aggressive pricing from the asset based guys who are worried about utilization. So I think we are less susceptible on the forwarding side and I do think on the brokerage side it is short-term in nature and as excess capacity tightens up, I think we will revert to a little bit more normalized pricing environment. So in my own view I don’t view this is kind of a permanent difference, but kind of a temporary thing until supply demand comes back into a little more an equilibrium.
Mark Argento: Sure. Obviously with environment creating some headwinds for guys in terms of the M&A pipeline would you look to continue to be active there obviously have plenty of capacity from a balance sheet perspective, maybe share some thoughts little more in depth what you are looking for and what to expect on the M&A side?
Bohn Crain: Sure. We remain interested and we’ve looked at a few deals, nothing has captured our imagination at this point, but we expect - I think it’s fair to say that ultimately the kind of the valuation multiple that we’re rewarded with will somehow or will have some implications on the size of deals that we do and the multiples that we would be able to pay for businesses. So there's been a handful of larger deals come to market where we just really have chose not to play based on the price talk of those deals and kind of expected multiples relative to our own multiples, which is kind of a long way of saying and a little bit of a backdrop that we remain interested but our acquisitions will most likely be more tuck-in in nature and trying to leverage our existing platform. And so as we’ve talked about before with the benefit of Wheels, we really view our world as having three functional integration platforms our legacy forwarding platform here in Bellevue, a U.S. centric brokerage platform in Chicago and a Canadian-centric platform in Toronto. So we’ve looked and continue to look for deals across each of those categories but, at the same time, are committed to being disciplined and committed to our earn-out strategy or structure and some of those things to help us through that process.
Mark Argento: That dovetails to my last question. So obviously, you can buy, basically buy yourself buy your own stock given the multiple you’re at relative to [indiscernible] somebody else at 6 or 7 times the multiple which you referred to seems to be obviously depressed for reasons that are fairly apparent in the sector. Any thought on the buyback, just remind us what you have available and if you’ve been active.
Bohn Crain: So we do have a buyback in place. We have not been active yet, but we continue to evaluate that as a viable option for us, just as we think about capital allocation and kind of risk-adjusted deployment of capital.
Mark Argento: Okay, all right. Good work out there, thanks.
Operator: Our next question comes from Marco Rodriguez from Stonegate Capital. Please go ahead.
Marco Rodriguez: Good afternoon guys. Thanks for taking my questions. Sorry if I missed this on the call, but I didn't get any - I didn’t see any guidance information for fiscal 2017, where you normally guys provide something. Did I miss that?
Bohn Crain: No. For this particular release, until we can get some better visibility as to what’s going on in the marketplace, we chose not to provide guidance.
Marco Rodriguez: Got you. And then kind of following up on the investments you talked about earlier, Bohn, in technology, can you give us a little bit better of a sense as far as the costs associated with that investments? And then any sort of timing aspects that when you think you should have this kind of rolled out throughout your network?
Bohn Crain: Well I think ultimately, I think it will be a long-term and continuous process for us. But I think if you look at our cash flow statements, I think we invested $4 million in the technology CapEx line item last year and another $3.6 million this year. And so I think that’s a pretty good proxy of what our kind of ongoing investment is going to be, at least at this point as we understand it. And then just kind of quickly trying to summarize, again, when we first launched the business back in 2006 with the acquisition of Airgroup, Airgroup was an SAP shop at that point in time and they had SAP’s accounting applications integrated to CargoWise. And we in the forwarding vertical relied on that and that served us well for a long time. And then with our more recent acquisitions, our own kind of aggregate technology requirements have increased and opportunity for cost synergies and rationalizations have also increased and kind of to that end, we kind of searched high and low, interrogated the marketplace to try to find what we thought would be the best third-party TMS or Transportation Management System for our platform going forward. And at this point in time, our view on that question is SAP. SAP has a TM that they rolled out. And so to get ourselves aligned along that path, we upgraded our SAP accounting system, put this new piece of middleware in places well that allow us to integrate this new SAP environment multiple legacy TMs. So we’ve completed basically the integration of CargoWise through the middleware to our new accounting system and that positions us to begin to transition really on a station-by-station basis and move people from CargoWise to the new TM. We will be piloting or we expect to be piloting the new TM in calendar 2017. And based upon how that pilot goes and how that proves out, we’ll continue to migrate station by station and effectively sunset CargoWise. And so I’ll call that kind of Phase 1a, if you will, and we’ll have that same opportunity relative to Wheels International in Canada and their various accounting software packages and TM applications and then, again, in Chicago with Wheels Clipper. So this will be a multi-year endeavor but the real next big milestone for us is getting kind of the pilot deployment of the SAP TM instantiated and working and then migrating the first station into that pilot and kind of working through any kinks and debugging it and then one by one, bringing additional stations over into the platform.
Marco Rodriguez: Got you. And that first pilot that you said that you wanted to launch here in fiscal 2017, I mean is that a first half of the year, second half of the year type event?
Bohn Crain: I’m sorry but I thought I said calendar 2017 rather than fiscal.
Marco Rodriguez: I’m sorry, maybe I misunderstood.
Bohn Crain: Yes. So I would expect it to be in the first half of the year.
Marco Rodriguez: Got you. Okay and so if I’m understanding things correctly here in terms of technology investment, obviously, being a little bit longer term, putting the company on some good footing for long-term growth and productivity improvements, more so than trying to help kind of offsetting short-term headwinds that you’re kind of seeing right now obviously in the marketplace that everyone’s seen.
Bohn Crain: Yes. I think, I mean the end of the day; we got to respond to market pricing and be competitive, right? So there’s only so much we can do on that side, but there’s a lot of things that we can do to help ourselves on the cost side of the ledger, and the most obvious is the $2 million of cost savings available to us through SBA. We’ve had our eye on the prize on that for a while and its right in front of us now. So that will be kind of the first low-hanging fruit, if you will, in terms of being able to get at those cost synergies and getting that incremental $2 million to our bottom line.
Marco Rodriguez: And I apologize. Can you remind me, is that going to be happening next quarter? Or is that a little bit later down the road?
Bohn Crain: Historically, as we’ve integrated back offices of other agent-based forwarding networks, we’ll have a targeted cutover date, and then ultimately, we’ve got, I’ll call it, running off the tail, right? Once we stop, instantiating new transactions in that legacy environment, we still have to collect all of the accounts receivable and pay all the payables and kind of work through all of those legacy transactions. So right now, we’re targeting that cutover for October 1. So no new transactions in the SAP accounting system starting in October 1 and that will begin the runoff of the tail, sort to speak. So over the next, starting October 1, I would think over the next six months, we will have largely concluded that exercise.
Marco Rodriguez: Got it, appreciate your time Bohn.
Operator: Our next question comes from Jason Seidl from Cowen. Please go ahead.
Jason Seidl: Thank you, Operator. Hi Bohn, hi Todd and couple quick questions here. Just to confirm, the contingent consideration that was in your numbers this quarter, is that just an earn out that wasn’t reached?
Todd Macomber: Actually that's - it was expense, it was true-up. Every quarter we go through an exercise and evaluate all of the people who are entitled to the earn-out and then we true them up as best we – with the information that we have. And so what happened here was it was actually an expense so what that means is we have stations on a net basis that are overall performing better than we anticipated for last time we looked at.
Bohn Crain: And just a quick reminder for everybody on the call who doesn’t live and breathe contingent consideration like when we do purchase accounting we have to set up estimated future liabilities for payment. So as acquisitions would underperform the estimate that shows itself as a gain and when they overperform it shows itself as an expense. So a little bit counter-intuitive, but that's so such as GAAP sometimes. So, what you are actually seeing our stations outperforming what we had initially set up for the quarter.
Jason Seidl: So we need to see more of these contingent considerations is what we are saying?
Bohn Crain: Well, it depends on how you look at it, so we will take it either way, whenever is a gain the way that I look at that is our earn-out mechanism is working and we are not paying for earnings that we didn’t get. I'd like to say we are willing - we were quite happy to take fair value for businesses, we just don’t want to overpay for businesses and this earn-out mechanism is the check in balance that helps us to do that as best we can.
Jason Seidl: All right. Now Bohn ever since release I didn’t see you mention of what your organic growth rate was, I was wondering if you could talk to that in each of your main business segment?
Bohn Crain: Well, overall we are seeing along with everyone else. I mean we know that many of our competitors had year-over-year decreases and we are no different. I mean lot of this is in reference to the fuel surcharge in the year ago period, but overall that's kind of always get somewhat down in the past. So when we think about growth and Jason I think we talked about this a little bit before, we like to look at the net revenue line item rather than top line revenue just because a fuel surcharge and the dynamics associated with that. So if we kind of look to hold this conversation as a gross margin line item, I think for the quarter we've recorded overall growth at 9% growth in net revenues for the quarter, but embedded in that and Todd correct me what I am thinking - I think it was like - it was a 6%?
Todd Macomber: Little over 6%
Bohn Crain: 6% degradation in same store growth.
Jason Seidl: Okay. And if I - if you would split up fresh holding from brokerage from IMC, how would that look as you evenly split as one were soft and the other like is brokerage doing worse on that?
Bohn Crain: Yes, I don’t have those precise numbers, but I would - I can tell you brokerage would be doing worse than forwarding in terms of net revenue growth.
Jason Seidl: Okay. That's helpful. And Bohn, I think we talked about this before, but just to clarify you guys don’t have any exposure [indiscernible] you are almost entirely air, correct?
Bohn Crain: Yes, In terms of our forwarding and in terms of our international ocean in terms of modality is a very small piece of our business by any measure. So I'm sure we've got customers with a few containers here and there, but that would be very, very small.
Jason Seidl: Okay, fantastic. Guys, thank you for the time as always.
Operator: The next question comes from David Campbell from Thompson Davis and Company. Please go ahead.
David Campbell: Hi, Bohn, Todd. Trolling up on the last comment about on gen, the impact on your company, what do you think is a possibility of moving some sea freight and shippers moving sea freight into air, I mean it doesn’t take very much sea freight to move into air to have a significant impact on air freight, is that a - is that a possibility or is it too early to know?
Bohn Crain: I think it's a little early, but certainly in concept that would seem logical and we have taken steps to kind of initiate customer outreach to make them aware, we are here to support them, if they need to rescue freight and on an expatiated basis, get us where it needs to go. So that would be a good pop for us to the extent that it happens, but it’s a little early for us to start and trying to take credit for those types of dynamics in our own results.
David Campbell: Okay. And you know the net revenues were $46.5 million as you mention slightly less than you were forecasting but you still had net revenue - adjusted net income of $2.8 million for the quarter, that’s up from a year ago. And I wondered given that result in the adjusted net income line you know why you are so reluctant to talk about fiscal 2017, it seems like you have things under pretty good control in terms of profitability?
Bohn Crain: Well there are number of things that - when we think about guidance there is a lot of different attributes, right. We’ve got one as I think everybody on the call knows, certainly a meaningful piece of our business is still driven by our agent locations which are under our direct control. We got kind of this capacity - excess capacity hangover and not clear kind of when, that’s going to realign. And then ultimately we have potential M&A activities that could offset and have the other direction. And so at the end of the day I would rather just be judged on our results rather than us missing by a penny and people trying to having our moment, just given the vagaries of the market. I’d rather just keep score on a real time basis rather than trying to make an estimate in this particular environment.
David Campbell: Okay, last question is -- do you comment about the $2 million potential cost savings from the service by air situation. It sounded like that some of those gains, some of those cost savings would start October 1, does that mean we will have continued…
Bohn Crain: No. I think they will start - I think they are more likely start to show up in calendar year 2017. Because we still - all those people though we still need them to process the legacy transactions, pay the carriers something like that takes 60 to 90 days before you make any meaningful headway and then you are chasing all the odds and ends. So our experience is that of six to nine month process that will begin for us October 1.
David Campbell: Ultimately could be well into 2017 before you start benefiting from it.
Bohn Crain: That’s true.
David Campbell: Okay. Thank you. I’ll let someone else have it.
Operator: Our next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, guys. How are you doing? You might have answered this earlier on, you put together a great platform, you have the infrastructure there, you have forwarding infrastructure, a brokerage and it seems to me it’s the organic roadside that you can attack now. How do you go about doing that, can you give some more specifics on - okay, how you leverage the model, how we move this margins from Radiant margin up to CH margins, [indiscernible] margins over time and how we utilize what you put in place already?
Bohn Crain: Sure, I can take a step at it right. So when we think about those types of metrics and as we've talked about before, so ultimately we view us being in the business of trying to grow our gross margin dollars and getting as many of those gross margin dollars to the bottom line as we can. So there is things that we can do focus on the gross margin dollars first, right. So, on that access, we got the opportunity to continue to pursue on-boarding additional agent station locations, as well as trying to harness the cross-sell opportunities between the brokerage and forwarding capabilities. It seems to be having some success and differentiating ourselves in the marketplace with the Canadian competency, and so we are interested to continue to pursue that side of things. We've also been putting some efforts towards segmenting our own sales strategy by industry vertical and starting to identify incremental members of sales leadership that could come in and take our vertical by industry and help us drive additional business across the platform that way and that's all kind of on the organic rather than acquisition side. And then we know historically our platform - our incremental cost of supporting the next dollar or gross margin is small. So as we can get more gross margin dollars that the lion share of those will find their way to the bottom line if we are doing it right, and part that's where our technology investment comes in terms of driving further scale. But we certainly have the platform to support growth and support growth across these different categories that historically we haven’t enjoyed. So we have work to do, but we were - but the good news I think we are extraordinarily well positioned to take advantage of those opportunities and while we are certainly hyper-focused on looking internally and driving improvement, we are still open for business on the M&A front, and hope to continue to exercise those types of opportunities as well which have always been an important part of our program.
Unidentified Analyst: Great. Then moving on to, you had impressive cash flow that's continued in the model support heavy cash flow. As you levels you envision yourself starting a buyback?
Bohn Crain: Time will tell that's always a dynamic question relative to other things on the table for us, but it's certainly on the table for consideration, but we'll see.
Unidentified Analyst: Okay. How do you envision - this is an industry where size matters, right. Where scale, there is buying power, there is revenue synergies, when you see happening over the next two years, there is a lot of private players out there if we take a look over the next two, three years where does Radiant stand is a consolidation, is a big players get together and we are seeing a little bit of consolidation starting now, what should we expect from Radiant and where do you envision us over two to three years?
Bohn Crain: Well, I think there will be continued consolidation and this whole notion of kind of the graying of this agent based forwarding community that is continuing to play out and I think there will be further consolidation. And candidly and factually I think we have a 10 year first to market advantage and positioning ourselves to support multiple brands within the freight forwarding space. No one else has even attempted to do what we do and it takes - I can tell you it takes a fair amount of time and energy and focus to get an organization and its back office oriented to support kind of multiple brands and further consolidation. And so I think we are uniquely positioned to be an active participant in those activities as they occur. At the same time, I also know it’s not time until its time. So these other counterparties, you know there can be a number of catalyst or events or circumstances that make them motivated participants. But I think when they come to that intersection and are really prepared to engage in those types of conversations and look at the landscape and who the likely partners would be. We just will be at the top of that conversation and candidly we are making ongoing investments in technology in support of those - hope for future events because we really have taken a long-term view that has played out and continues to play out along this matter. So we are - I like to say we are patiently persistent, but think that we still are on the right path.
Unidentified Analyst: Okay. All right, appreciate it and good luck on this year.
Operator: And I like to turn the floor back over to management for any closing comments.
Bohn Crain: Thanks, Matt. Let me close by saying that we remain very excited with our progress and prospects here at Radiant. And we remain very bullish on the growth platform we created and the scalability of our non-asset based business model and the benefits that will flow from our ongoing investment and technology. Thank you for listening and your support at Radiant Logistics.
Operator: This concludes today's teleconference. Thank you for your participation. You may disconnect your lines at this time.